Operator: Greetings, and welcome to the Atento’s Third Quarter 2015 Earnings Conference Call. At this time all participants are in a listen only mode. A question-and-answer session will follow the presentation. [Operator Instructions] As reminder, this conference is being recorded. It is now my pleasure to introduce your host, Lynn Antipas Tyson, Vice President of Investor Relations for Atento. Please go ahead, Ms. Tyson.
Lynn Antipas Tyson: Thank you. Good morning and welcome to our fiscal 2015 third quarter earnings call. Before proceeding, let me mention that certain comments made on this call will contain financial information that has been prepared under International Financial Reporting Standards. This financial information is unaudited. In addition, this call may contain announcements that constitute forward-looking statements, which are not guarantees of future performance and may involve risks and uncertainties. Certain results may differ materially from those in the forward-looking statements as a result of various factors. We encourage you to review our publicly available disclosure document filed with the relevant securities regulators and we invite you to read the complete disclosure included in the second page of our earnings presentation. Our public filings and earnings presentation can be found on investors.atento.com. Please note that unless otherwise noted, all growth rates are on year-over-year and constant currency basis. In addition, growth rates have been adjusted for the divestiture of our Czech business in December 2014. Our presenters this morning are Alejandro Reynal, Atento’s Chief Executive Officer; and Mauricio Montilha, Atento’s Chief Financial Officer. Alejandro will begin with a brief review of our strategy and highlights from the quarter, after which Mauricio will review our results in more detail. At that point, we will open the call for questions. Following the Q&A, Alejandro will make closing remarks. I will now like to turn the call over to Alejandro.
Alejandro Reynal: Thank you, Lynn, and good morning everybody. Please turn to page five. We have to start by saying that it’s been a year since our IPO, an important milestone and a good opportunity for us to reflect on the progress we’ve made in executing our long-term strategy and how this progress strengthens our competitive position now and in the future. To this end, we will cover primary three points today. First, the measurable and sustained progress we have made against our strategic initiatives, just one year after the IPO, as I mentioned; two, the competitive advantages and operational levers we’re using to help navigate microeconomic headwinds, particularly in Brazil; and third, our results reaffirm that our strategy is on track. Our vision enhance well or above industry growth and balanced performance in the future. At its core, as you might recall, our strategy is to deliver sustained above market growth and long-term value creation for shareholders, at the same time as we work to become the number one customer experience solutions provider in the markets we serve. This strategy is supported by three important pillars: Growth; best-in-class operations; and people. Atento is well positioned to increase our share of the 10.4 billion CRM/BPO market in the Latin America, a market which is expected to grow to 15 billion by 2020. We are the largest regional provider with the scale to deliver the increasing trends towards larger, more complex, higher value-added service contracts. Since the beginning of 2014, we have increased the percentage of our revenue derived from higher value-add solutions by 140 basis points, and they now comprise roughly 24% of our revenue. For example, we have developed higher value-added solutions in the financial services vertical that help our clients how to make and reduce process time and errors in critical front, and back office transactions. These services are very sticky and they allow us to expand our share of wallet with existing clients. This capability is also a springboard for us as we penetrate the highly fragmented U.S. nearshore market. Please turn to page six. Our results this quarter yet again evidence of our progress against our long-term strategy. In the quarter revenue grew 9.4% led by high single digit growth in Brazil with almost 17% growth in non-Telefónica clients. And in the Americas, we posted double digit gains in revenue with 23% increase in revenue from non-Telefónica clients. Adjusted EBITDA grew 4.2% with 10% growth year-to-date and adjusted EPS in the quarter was 35.4% to $0.31 driven by the increase in EBITDA and decline net interest and taxes expense. In the quarter, we generated $15.3 million in free cash and we ended the quarter with $230 million in liquidity, which includes cash and cash equivalents and undrawn revolving credit facility. We delivered this performance against an increasingly challenged macro scenario, particularly in Brazil, our largest market. Cost pressures are prompting some of our clients to consider using CRM/BPO service for the first time or increase the amount of services they outsource. Other clients are looking to minimize cost increases by adjusting their CRM/BPO service levels. Our orders are showing declines in real volume driven by the adverse macroeconomic environment. It is not clear when this macroeconomic trends will reverse itself or what form it will take when it stops. What we will know is that despite these circumstances, Atento’s commitment to a differentiated business model and best-in-class operations has and will continue to allow us to outperform the market on behalf of our clients while delivering balanced financial results. This does meet to our guidance for 2015 which we have reaffirmed. We continue to target growth of 6% to 9% and EBITDA margins in the range of 13% to 13.5%, both on a constant currency basis. Relative to margins, our best-in-class operations are driving cost and operating efficiencies. However, we’re not completely immune to the increasing adverse macroeconomic pressures in Brazil. It impacts on our clients, their customers as well as impacts on our own cost structure. As a result of these dynamics, we believe we will be at the low end of our margin range for this year. Please turn to page seven. Now, I’d like to talk about the progress we’ve made in the last quarter against our long-term strategy in the context of the three strategic pillars: Growth; best-in-class operations; and people. Overall, growth was supported by commercial momentum across most verticals as we acquired new business, grew our share of wallet with existing clients and further diversified our client base. In the quarter, we were awarded more than 3,000 workstations with around 40% coming from new clients and around 85% from non- Telefónica non-telco verticals such as financial services. Importantly, about 27% of the business won in the third quarter came from higher value added solutions, as we expand our ability to address a larger portion of what our clients need and spend. We continue to ramp up U.S. nearshore business, a nascent opportunity but one with high potential for Atento. Recent devaluations of Latin America currencies make the region most and more cost effective for U.S. customers and analysts expect this market to grow at high single digit rates through 2020. Over the last 12 months, we have added roughly 13 seats to our U.S. nearshore business and in the quarter, we won new contracts with key clients. A key competitive differentiator for Atento and important enabler of profitable growth is the second pillar of our long-term strategy, best-in-class operations. At its core, this is about how we use our economies of scale to drive consistency in operations, enhance productivity and profitability while also providing industry leading solutions to our clients. We have a high sense of urgency to achieve more and faster meaningful progress in this area, especially given the macroeconomic pressures in Brazil. Five sustaining initiatives are helping us to do that: They are operations productivity, HR effectiveness, global procurement, efficient IT and site optimization. Highlights in the quarter from our best-in-class operations include: First, our variable billable versus payable ratio, a key measure of operational productivity, increased 63.6% in the third quarter, an improvement of 440 basis points over last year and turnover which impacts employee costs, declined 40 basis points. To further drive operational efficiencies, we’re also standardizing the planning and forecasting processes we deployed from our regional command centers. These command centers enhance client access to our advanced analytical forecasting and planning capabilities, would generate increased efficiency and new intelligence about customer habits and trends. In 2014, we launched our first operations command center in Sao Paulo to support Brazil. Earlier this year, we opened a second command center in Mexico for our Americas operations. And in this past quarter, we opened a third center in Spain for EMEA. Also in the third quarter, we inaugurated two new customer relationship service centers; one in August in Guarulhos in the State of Sao Paulo and another in September in Pereira, Colombia, Atento’s eighth service centers in Colombia. The Guarulhos center provides end to end customer experience solutions to leading firms in the financial services, telecommunications, and healthcare sectors. Our new center in Pereira will also provide comprehensive solutions for clients in the financial services and telecommunication sectors. Colombia is key to our growth strategy, both for the current and long-term potential of the CRM market and the competitive advantages it gives us in the U.S. nearshore business. Of course what makes these centers and all of Atento most effective is our people, our third strategic pillar. We continue to execute a series of initiatives to ensure we constantly have the type of culture and organization capability required to satisfy the needs of our clients and their customers. For example, over the last 18 months, we have augmented our leadership team to best class initiatives from external hires with internal capabilities. 45% of our top 80 team members are now new hires or have new responsibilities in Atento. This includes people who have added capabilities to our U.S. nearshore team and a new constituent Chief Commercial Officer role to oversee all commercial activities including marketing and solutions development. Our culture and workplace environment continues to be recognized by our industry and other organizations. For third year in a row, we have been recognized as one of the top 25 best multinational workplaces by the Great Place to Work Institute, alongside large global brands like Microsoft and McDonald’s. Atento, as you know, is the only provider of CRM/BPO services to earn the distinction and also the only Company that is in LatAm. Please turn to page eight. The success of our three-pillar strategy to deliver sustained growth and create long-term value for our shareholders is ultimately reflected in the strength of our balance sheet and our financial flexibility. As I mentioned, in the third quarter, we generated $15.3 million in free cash flow; we ended the quarter with $230 million in liquidity; and also our net leverage was 1.5 times net debt to adjusted EBITDA. Before I hand the call over to Mauricio, I’d like to close with this: Our results clearly demonstrate Atento is uniquely positioned to acquire new business; grow our share of wallet with existing clients; and increase our penetration of higher value added solutions. We are however not immune to the increasingly and more proactive macroeconomic impact, especially in Brazil. On other hand, we have intensified our commitment to cost and operating efficiencies, to ensure we continue to deliver to our client, industry leading service level and an increasing mix of higher value added solutions. Our advantaged operating model continues to allow Atento to extend our leadership in Latin America while also making the necessary strategic investments to support our long-term competitive and financial position. Thank you very much for your attention. And now, I hand over the call to Mauricio.
Mauricio Montilha: Thank you, Alejandro. I’d like to thank all of you for joining the call. As a reminder, I will be referring to growth rates on a constant currency basis which we believe is a better representation of our underlying performance, given our exposure to several currencies and geographies. Growth rates are year-over-year and have been adjusted for the divesture of our Czech Republic business in December 2014. We are pleased with our balanced operating and financial performance during the third quarter. Revenue increased 9.4% with an 11.7% increase in Latin America. Adjusted EBITDA increased 4.2%, driven our strong broad-based growth in revenue during the quarter. Adjusted EBITDA margin of 13.8% was down 120 basis points and this decline was driven primarily by two factors: First, a shift in the mix of countries, particularly Brazil due to material devaluation of currencies, this contributed about 50 basis points to the decline. Second factor was a shift in timing of our pass-through of wage inflation drive into prices in Argentina. This contributed about 60 basis points to the decline in the quarter but had a neutral impact on a year-to-date basis. On a constant currency basis, which normalized for the impacts [ph] for Brazil, adjusted EBITDA margin was 14.3% in the quarter. On a year-to-date basis, adjusted EBITDA margin was 12.7%. Adjusted EPS increased to 35.4% to $0.31, driven by increase in EBITDA, a decline in net interest expense and lower tax expenses. These results are even more noteworthy when you consider the persistent and challenging macroeconomic environment in many of the markets in which we operate. As Alejandro detailed, our early commitment to best-in-class operations coupled with our enhanced financial flexibility optimally position Atento to capture market share and deliver balanced results, no matter what is happening macro-economically. Turning now to our segment, in Brazil we are the number one provider of CRM/BPO services. Revenue grew 9%. Our strong top line growth was broadly based as we increased our share of wallet with existing clients and won new clients. Importantly, our mix of high value added solutions increased to 50 basis points, particularly among our non-telco vertical clients. In the quarter, we won business of 1,259 workstations with 85% of them coming from non-telco verticals. Non-Telefónica revenue increased 16.9% driven by key commercial wins with existing customers in the financial sector and increasing our share of wallet with clients across our key verticals. The mix of non-Telefónica revenue has steadily increased in Brazil with record 63% of revenue in Q3, up 430 basis points year-over-year. Telefónica revenue declined 2.4%, driven by an overall reduction in volume as a result of macroeconomic environment. Adjusted EBITDA increase 13.2%, aided by growth in the top-line and improved mix of service and our cost and efficiency initiatives. This strong performance supported by our best-in-class operations puts mask that environment in Brazil is getting incredibly challenging for our clients and their customers. The macro environment is both more sever and more protracted than we expected. And while our model is resilient, we are not immune and will likely experience margin pressure in the future. Excluding the allocation of corporate costs, adjusted EBITDA margins decreased 30 basis points to 16.3%. Turning to Americas, where our revenue grew 15.9% supported by approximately 1,500 new workstations award in the quarter and then 90 basis points sequential increase in the mix of value added solutions. Revenue from Telefónica increased 8.2% supported by solid performance across the region, particularly in Mexico, Peru and Argentina. Revenue from non-Telefónica clients increased 23.1%, driven by strong growth from new and existing clients in most markets, especially in Argentina, Peru, Colombia and U.S. nearshore. Adjusted EBITDA declined 3.1% and adjusted EBITDA margin excluding the allocation of corporate costs, declined 270 basis points to 15.7%. Over half of decline in margin was due to the shift in the quarterly timing of pass-through of the wage inflation into prices in Argentina, which had a neutral impact year-to-date. And the decline in margins was also impacted by shift in country mix. Now EMEA is still affected by the competitive telco environment in Spain. However, we continue to adjust the market reality. The declines in revenues are starting to stabilize and our best-in-class operations are driving improvements in cost and other efficiencies. Revenue declined 5.5%, driven by 8.6% [ph] decrease in revenue from non-Telefónica clients. These declines were attributed to lower volume from public administration contracts in Spain which is more to an offset growth from private sector clients, and a 3.6% decline in revenue from non-Telefónica. The decline in revenue constituted to a 3.1% decline in adjusted EBITDA. However, adjusted EBITDA margin excluding the impact corporate allocation increased 70 basis points to minus 9.1%, reflecting the benefit of our cost and efficiency initiatives. Turning to our balance sheet. As you know, cash flow and our balance sheet are both critical to enhancing our financial flexibility and strengthening our competitive position. In the third quarter, as expected, we returned to a more normal seasonality, generating $15.3 million in free cash flow. Our balance sheet remains strong with low leverage of 1.5 times net debt to adjusted EBITDA. We have ample liquidity of $230 million, which includes cash and cash equivalents and also undrawn revolving credit facilities. As a reminder, we have limited currency exposure since 98% of our costs are denominated in the same local currency as associated to revenue. In addition, our debt is mostly denominated in local currency or hedges against doubtful operations [ph] which largely insulated from high volatility finance. The Brazilian debenture [indiscernible] financing are denominated in the Brazilian real and U.S. denominated bonds is hedged into a basket of local currencies of the countries of bad debt security. Before we open the call for the Q&A, let me review our outlook for fiscal 2016. We have reaffirmed as our guidance for full year revenue growth in the range of 6% to 9%; and for adjusted EBITDA margin to be in the range of 13% to 13.5%. So, it’s likely we will be at the low end of the range. Both of these targets are on a constant currency basis. I think it’s important to emphasize that when we initially gave guidance for fiscal 2015, it was expected GDP in Brazil would contract by about 150 basis points this year. Now, we are facing over twice that decline and thus far reach implication for the Brazil economy only to be compounded by the effect of inflation. Our best-in-class operations, strong profit line growth and improving mix of high added value service have helped us to navigate much of this pressure. But we are not completely immune. We will continue to apply vigor to our cost and efficiency initiatives to ensure we align our cost structure with the realities of the market in which we operate. We expect CapEx as a percent of revenue to be approximately 6% as we invest in the growth of new clients. And our effective tax rate is anticipated to be around 32% for the year. As you consider our performance for the balance of the year, there are a few puts and takes, I want to highlight for your consideration. The first is exceptional cost which we exclude on non-adjusted figures. [Ph] This cost includes ongoing site relocations for the restructuring in our services and other miscellaneous expenses. Year-to-date we have expense 10.8 million in exceptional cost which include cost we incurred in Q3 to better align our cost restructures in Brazil and in Spain. Our year-to-date run rate is a good proxy for what we now expect for the full year. That said, given the protracted macroeconomic headwind, especially in Brazil, we do continue to asses opportunities to adjust our cost structure to match to reality of demand. The second point is net interest. As I mentioned on our second quarter earnings call, we expect net interest expense for the year to be in the range of $72 million to $76 million driven by higher interest rates in our debentures and higher debt to balance. To assist you in the modeling of our debt, in the appendix of our earnings presentation, we have now included summary of debt related information already in the public domain. As you consider the GAAP net financing line in our P&L which is a combination of net interest and effective tax, it’s important for you to remember that our adjusted net income and adjusted EPS exclude the non-cash effect of net foreign exchange gains on financial instruments and net current exchange impact. We exclude this from our adjusted numbers to more clearly show the underlying health and quality [ph] of our business. Third as always, our organic business based on organic growth and assumes to effect from moving the exchange rate on the translation for our financial statement into U.S. dollars. Now operator, please explain the Q&A process, and poll for questions.
Operator: Thank you. We’ll now be conducting the question-and-answer session [Operator Instructions]. Our first question today is coming from Susana Salaru from Itaú. Please proceed with your question.
Susana Salaru: Actually the question -- we have two questions here. The first one is related to CapEx guidance. The first quarter of the year and the second quarter, the guidance was 5% CapEx to sales and now it’s 6% because of the growth of new clients. I was wondering if you could elaborate if the growth was higher than expected and then you have compensated that with the higher CapEx guidance. That would be our first question. And then the second question is related to Argentina. You mentioned that there is a neutral impact year-to-date. So, does it mean that in the first half of the year the margins were little bit higher because of that and now it’s being compensated, just want to clarify how is that neutral impact year-to-date? Thank you.
Mauricio Montilha: Well, first question Susana on the CapEx side when we put the guidance at the beginning of the year of revenue between 6% to 9% and CapEx at 5%, we all said -- at the end of the year or close all of the year, if you would be at top of the range, probably the CapEx would be a little bit higher. And what we are seeing even with Q3 numbers and the recent wins, we’re being successful in turning the pipeline into reality and therefore we being at the top of the range, CapEx will be slightly higher for the year. The second point related to Argentina, in fact in 2015 we are much more I would say normalized. So, we actually are pressing prices in Argentina according to the contract, so with Q2 we have price increase in Q3. What happened is that last year in 2014 the price increase in Argentina with some clients was agreed in Q3 and a lot of that price increase had some retroactive impact in Q3 that was supposed to be in Q2. Actually this year ‘15, the price increase has been done along the contract’s anniversary. So ‘15 is a very normalized, ‘14 was retroactive impact in Q3 related also to some price increases in Q2 given prolonged negotiations with the client.
Susana Salaru: So Argentina, basically in third quarter [ph] that was the domain problem here when you compared to the previous year’s, not specifically 2015, right?
Mauricio Montilha: Absolutely, 2015 is -- last year that was Q2 [ph] and this year we end up having better process or negotiations and in every quarter.
Operator: Our next question today is coming from Diego Iñigo from Morgan Stanley. Please proceed with your question.
Diego Iñigo: Thanks for taking my question. The first question is regarding the Americas business if you could elaborate how you are doing the nearshore business and how fast is this growing? Thank you. This is the first question.
Alejandro Reynal: The overall evolution of the business is as planned. I did mention in my comments that we have now 1,300 workstations since we launched this initiative, which basically is the plan that we have. This quarter interestingly we closed -- we won two business opportunities that were not in the financial services or telco vertical. So I think it’s quite remarkable that we are now expanding our appliance [ph] outside what we traditionally have in the U.S. nearshore, which were mostly telco financial services. I would say that this is also very positive that most of the locations in where we are nearshore in capacity, we are getting upto capacity in terms of our ability to provide services. As you might recall, we established call centers in Guatemala, El Salvador, and Puerto Rico to service the U.S. nearshore and the ones in Puerto Rico and El Salvador are very filled up upto capacity and Guatemala is progressing very well. So, I would say that we are very pleased where we are and with the progress. And one of the things that we did as well in the third quarter is that we have brought a Chief Commercial Officer which is focused together with the existing team is to continue to push harder into the U.S. nearshore market. So in summary, very pleased where we are and looking forward to end of this year and next year to have more commercial wins in this space.
Diego Iñigo: My second question is regarding your working capital. If you could just elaborate a little bit more about the trends, I guess when we compare to 2014 look very different from what you had in that year. So, if you could just give as a sense of your expectations for the working capital, this will be very helpful. Thank you.
Alejandro Reynal: Mauricio, please go ahead.
Mauricio Montilha: As we spoke last time in the second quarter release, generally speaking I’ll just give you an overview. Our working capital especially, the receivables -- big part of receivables be navigating between 10% to 12% of the revenue. This year particularly at the begin of the year, we had some I’d say delays in payments, as this improved in Q3 that’s also generating better cash flow results that we have. It’s not completely I’d say reverted, we’ve been working with some clients and also November and December getting much healthier by the end of the year. As you know we have [indiscernible] so the credit risk or receivable. As you also -- when we did the IPO -- and we have some final adjustments with Telefónica standard of credit term as part of the agreement. And that will happen in Brazil probably this year that we increase our receivables little bit more moving from 30 days to 60 days time. [Ph] After that we don’t see -- we see our working capital all over the year coming back to the normal that will be about 12% of the revenue. So, we had a pick up this year, especially in Q2 related to the some overdo [ph] especially working progress and receivables. So, this is getting back to normality and you will see some results. There will be small increase related to the adjustments to Telefónica, but we don’t see this -- we see this coming back in the future. So, I’ll say just historical levels.
Operator: Thanks. Our next question is coming from Vera Rossi from Goldman Sachs. Please proceed with your question.
Vera Rossi: My question is about Brazil and statement that Maurice you made about the margins. Could you expand on what will be driving the margin pressure in the next quarters in Brazil? Thank you.
Mauricio Montilha: Well, Vera, as we referred out at the beginning of the year when we did our guidance, we had our perspective in Brazil and as we all know today, the Brazilian economy, not only the actual economic environment has deteriorated as well as the projections of this environment has deteriorated. One of the things that happened especially already for us up to date is high inflation that we expected. Although as I also pointed out in the call in the Q3 numbers, we still are doing better. However, we are facing already Q1, Q2, and Q3, for example the high energy costs, or higher rental than we expected. So the inflation has been higher than expected is already taking down some margins. So far we’ve been able to offset but as we said this deterioration has been far beyond our expectation and will start impacting our numbers moving forward. The other consideration here, as our clients also in this environment, our clients also facing some volume declines that although we don’t see completely in our numbers because we have up to Q3 significant wins of the commercial side. We continue to gain share of wallet but there has been some underlying into some existing contract volumes declines up to now, as you can see already in Brazil numbers for example for Telefónica. So, these are the two trends currently in our numbers that if the Brazil economy continue to deteriorated its performance, probably we’ll continue to be seeing in coming months.
Operator: [Operator Instructions] Our next question today is coming from Leonardo Olmos from Santander. Please proceed with your question.
Leonardo Olmos: I have two questions, the first one is with the most of macro scenario observed, have you been feeling an advance in M&A talks, I mean both from Brazil and outside? And the second one is regarding Brazilin margins, how much of the expansion was generated now, came from pass-through [ph] and how much by new contracts or new services? I mean I am asking because specifically in 2015 we had close to 10% inflation. Can we still think of two thirds being pass-through even with 10% increase in a one-ff year like that? Thank you.
Alejandro Reynal: Let me -- I’ll take the first question and Mauricio will comment on the second one. You’re right, I think what the current macro environment is creating is more opportunities on M&A and I would extend that to carve out as well. We see, and I think this is to our advantage that Atento has strengthened its position in Latin America with the growth we’re clearly outpacing market growth and our competition. And we clearly have a very strong financial position versus some of our competitors. So to an extent, to me this is what has enabled us to strengthen our position in the market. Having said this, we are very strict in terms of analyzing M&A opportunities. For us, it has to cover two criteria from an strategic perspective, first it needs to be able to add capabilities to our current business and also on the second piece, accelerate our geographical footprint, if it’s aligned with our strategy, for example the U.S. nearshore component. And we’re looking into M&A with those two lenses. And from the perspective we’ve been approached with different opportunities. But up until, they’ve been our strategic criteria, and of course our financial criteria, we will not proceed. The other thing that we’re actively looking into couple opportunities with the current macro scenario for clients as we discussed last quarter, it’s an attractive option to dispose some of the internal assets they have in call centers and give it to us to manage it more effectively and provide with efficiencies. And we’re also looking into these type of deals and having proactive conservations with our clients. So, in summary, yes, I mean we see an increased level of M&A activity, we see competitors which have less strong position due to the macro crisis. But we would always take decisions based on our strategy and what we believe is more accretive to our financials.
Mauricio Montilha: Leonardo, regarding the second question, just to clarify one thing about specially Brazil, I would say that a more relevant inflation environment or more -- in the case of Brazil, Leonardo, 70% of our cost, generally speaking in the Company, people related. And we actually increase talented people in general. So this year, we are not facing 10% inflation at the Company this year because in general we increase by 6.2% that is reflected in net year [ph] inflation. So, the challenge with this higher inflationary level into the people cost will come at the beginning of next year and after the beginning when we’re going to discuss with our clients. So this year, we’ve been able to pass close to the historical numbers as the same for two-thirds and continue to manage to have with our clients ways to exceed the margins in whole in a good shape, adjusting service levels or improving share of wallet. So, this year is being working I would very close to the average. But we talk 6.2 salaries in Q1. What we are seeing is that the other costs, rental; as you know, we don’t own the building that use and rental, we adjust it in the more I would side the current inflation that sometimes 9.5%, 10%. Electrical energy for example, although it’s not a huge cost for us, cost wise, we’d be facing [ph] depends on the site and location, 65% increase. So, this isn’t hitting us this year but the salaries, will hit us in the next year. So, the biggest challenge inflation for sure, definitely will be next year.
Leonardo Olmos: And Mauricio, just a follow-up, but do you think maybe on the first-half or next year we might see some additional margin pressures on those deals because of that?
Mauricio Montilha: Leonardo, as you know, it’s very hard for us to comment on this. But what I can tell you is that as we have a strong relation with our clients, we’ve been discussing with our clients related to this scenario that impacts the Europe business as well. And we’re going to continue to implement our strategy with our clients if completely price is not feasible to the best, so we have to find a way with our clients to keep the margins I’d say comparable or healthy margins for the business. I think this formula has been working for several years. And as we have long relationship with this client, we believe that we have a reasonable chance to succeed. But also having said that, that’s going to be a challenge because of 10% I’d say who knows where we’re going to end. But it will be a challenge for everyone. But we feel confident that quality, positioning our long relation with our clients give us the possibility to continue to do good business with them.
Operator: Your final question today is coming from Alec Turner from Baird. Please proceed with your question.
Alec Turner: Congrats on a good quarter. In terms of CBCC acquisition that you guys made earlier this year and the of last year, what was that contribution in the quarter to total Company in Brazil revenue?
Mauricio Montilha: I don’t have here this number for the quarter. What I can tell you about the CBCC is it continues to be our good business with us. I don’t know if you remember when we communicated the largest retail [ph] in Brazil. And let me provide [ph] that the service we provided to CBCC to support their ecommerce platform, although you’d see the Brazil retail in generally suffering, when you split those numbers, you’ll see that outside physical stores and some part of the retail are worse than others, especially if we take items like automobiles and others. But it’s still the ecommerce is doing well. So, what I can say is that we still have a very good business with them. I know honestly I don’t have detail on that, but it’s still on our expectations for the year.
Alec Turner: And then on solutions revenue, which is 24% of rise, it seems to be doing well. What percent of new client signs is from solutions type of work?
Alejandro Reynal: It’s going well as an opportunity. And just to give you some numbers on new client activity, out of the 3,000 workstations, about 40% of those came from new clients; and then 60% from existing clients. And most of the activity that is coming from solutions come from existing clients because typically what we’re doing there is up-selling services with higher value added. So out of that 60%, around 75% come from solutions. So, a great piece of the new client -- I’m sorry, of existing client activities coming from the solutions business. And I think just to point out here as well the interesting piece is there a lot of solutions business that we have been gaining, comes from financial services, which is an area in where we are investing quite a bit strategically in the development of solutions, and we’re receiving a very good demand from our existing clients.
Operator: Thank you. We’ve reached end of our question-and-answer session. I’d like to turn the floor back over to management for any further or closing comments.
Alejandro Reynal: Thank you very much. As you can see on the last slide of the presentation, just wanted to finish with a few takeaways. I think the first one is that we are making measureable progress around our strategy and the commitments around growth, best-in-class and our people. Just to highlight a couple of key numbers for me one of them is the fact that in non-Telefónica revenue in Brazil, we grew 17% and in Americas in non-Telefónica revenue, we grew 23%. So, in spite of the macro headwinds that we’re facing, we are growing at a very fast pace, faster than the market. And also in this fast growth environment that we’re experiencing we are able to expand margins on a year-to-date basis. So, we are delivering on our strategy. As Mauricio pointed out and also myself in my comments, we do see that the macro headwinds are reality and that will continue, but to an extent the fact that we have our strategy and we’re executing well, it prevents us from suffering more than some other competitors suffering the market. And I would say that lastly we are on track in terms of our long-term strategy. We’ve made a clear roadmap two years ago. When we define our strategy, a year ago we went into the IPO and we have a clear plan for the years to come in terms of the roadmap to make investments that strengthen our competitive advantage for the long-term and deliver sustainable value for our shareholders. So, I would close by saying that I am very happy and pleased with the quarter that we just had and thank all our employees for the hard work and for the delivery of the results, and look forward to further interactions over the next days and weeks to continue to talk about the results of Atento. Thank you very much and have a great day.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.